Yahaira Garcia-Perea: Good morning and thank you for joining Bank of Marin Bancorp's Earnings Call for the First Quarter ended March 31, 2024. I'm Yahaira Garcia-Perea, Marketing and Corporate Communications Manager for Bank of Marin. [Operator Instructions] 
 Joining us on the call today are Tim Myers, President and CEO; and Tani Girton, Executive Vice President and Chief Financial Officer. Our earnings press release and supplementary presentation, which we issued this morning, can be found in the Investor Relations portion of our website at bankofmarin.com, where this call is also being webcast. Closed captioning is available during the live webcast as well as on the web replay.
 Before we get started, I want to note that we will be discussing some non-GAAP financial measures. Please refer to the reconciliation table in our earnings press release for both GAAP and non-GAAP measures. Additionally, the discussion on this call is based on information we know as of Friday, April 26, 2024, and may contain forward-looking statements that involve risks and uncertainties. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, please review the forward-looking statement disclosure in our earnings press release as well as our SEC filings. Following our prepared remarks, Tim, Tani and our Chief Credit Officer, Misako Stewart, will be available to answer your questions.
 And now I'd like to turn the call over to Tim Myers. 
Timothy Myers: Thank you, Yahaira. Good morning, everyone, and welcome to our first quarter earnings call. At a high level, during the first quarter, we showed deposit stability, a declining pace of deposit cost increases and continued strong liquidity. We also added to the foundation we are building for a more robust loan origination engine.
 Our smaller balance sheet and higher overall deposit costs resulted in slightly compressed net interest margin and core earnings reduction in the first quarter. Operating expenses, which did include some seasonal increases and downward incentive adjustments, were also higher on balance as we added key new commercial banking hires, and our talent is already helping pipeline activity in both the North Bay and Sacramento.
 Importantly, our concerns about overall credit quality and loss potential remain unchanged despite risk rate migration. In the quarter, we capitalized on the dislocation caused by the regional bank failures and as I noted, attracted proven relationship bankers to help drive new client acquisition. Notably, the pace of deposit cost increases slowed during February and March, reaching the lowest incremental levels since February 2023. These catalysts complement the strategic repositioning of our balance sheet late last year when we divested lower-yielding securities and scaled down short-term borrowings to improve our interest rate risk position for the year ahead.
 We continue our facilities optimization by consolidating 2 of our commercial banking offices into one, saving approximately $650,000 this year and an $800,000 annualized run rate beginning in 2025. We will continue to evaluate a range of strategic possibilities to optimize our balance sheet and expense structure to create efficiencies and increase profitability on behalf of our shareholders. We also remain firmly committed to our long-established conservative approach to credit. Overall, credit quality remained strong with nonaccrual loans at just 0.31% of total loans at quarter end, down from 0.39% the prior quarter.
 As we've indicated, our relationship banking model enables us to work closely with our commercial real estate borrowers most directly impacted by the current environment. We are also able to manage risk on certain CRE loans with vacancies through enhancements to collateral, either by way of cash or other income-producing properties or by having the borrower pay down the loan. During the first quarter, we made good progress in this area, and it remains a key focus.
 Classified loan levels did increase in the first quarter. This was due largely to 3 relationships of different types and geographies. Two are CRE loans that are fully secured and supportive of personal guarantees, and we believe there is minimal risk in these credits. We are not seeing the formation of material new problem loans, just previously identified problem loans continuing through the workout and resolution process.
 In the first quarter, we upgraded 4 loans totaling more than $10 million from special mention in the past. Our nonowner-occupied office portfolio overall is made up of 151 loans with an average loan size of only $2.4 million. The weighted average loan-to-value was 60%, and the weighted average debt service coverage was 1.6x based on our most recent data.
 There is no notable change from what we reported at year-end. Our office CRE book in San Francisco represents just 3% of our total loan portfolio and 6% of our total nonowner-occupied CRE portfolio.
 I also want to note that we have minimal exposure to rent control properties within our multifamily portfolio. Only 32 loans with an average balance of only $1.6 million or 2.5% of our total loan portfolio. Like the rest of our book, we are monitoring this very closely.
 As I noted, with our new commercial hires, we're seeing more new attractive opportunities with a dramatically improved pipeline, though the timing to close is difficult to predict. As such, our loan portfolio did decrease slightly as our originations in the quarter were offset by payoffs, scheduled repayments and strategic exits. Much of the payoffs were related to construction loans as a result of project completion.
 Now turning to deposits. We maintained total deposits with quarter end balances essentially flat from December 31. We attracted new customers during the quarter, but some clients also moved cash into alternative investments to capture higher returns, and we also saw seasonal outflows that we often see in Q1 of each year. Our noninterest-bearing deposit level remains favorable at 44% of total deposits. We continue to focus on relationship banking with high-touch service, being appropriately competitive on deposit pricing and maintaining our strong core deposit franchise. We anticipate our funding costs to further stabilize this year.
 We also continue to maintain high levels of capital and liquidity, and we are in a position of strength. Our total risk-based capital ratio improved to 17.05% at quarter end compared to 16.89% at the close of 2023. Total liquidity of approximately $1.9 billion consisted of cash, unencumbered securities, and total borrowing capacity.
 In summary, we made substantial progress by adding talent and building upon our foundation for profitability improvements and long-term growth, and these efforts are ongoing.
 With that, I'll turn the call over to Tani to discuss our financial results in greater detail. 
Tani Girton: Thanks, Tim. Good morning, everyone. With interest rates higher for longer and lingering economic uncertainty, we continue to focus on further strengthening our core deposit franchise and maintaining robust liquidity and capital level while delivering exceptional service to existing and new customers as we position Bank of Marin for continued earnings improvement in 2024.
 We generated net income of $2.9 million for the first quarter or $0.18 per diluted share compared to net income of $610,000 or $0.04 per share in the fourth quarter of last year. $4.2 million of the increase in net income quarter-over-quarter was due to losses on securities sales in the fourth quarter of 2023. After repositioning our balance sheet out of borrowings and some securities, lower-earning assets combined with the higher cost of deposits to make net interest income $1.6 million lower than the prior quarter.
 However, during the first quarter, we maintained our noninterest-bearing deposit levels while capturing higher yields on new loans. This largely offset increases in interest-bearing deposit costs. And as a result, our tax equivalent net interest margin decreased by only 3 basis points in the first quarter, following a 5 basis point increase in the fourth quarter. Taken together, our net interest margin has stabilized over the past 2 quarters, and we are optimistic that we will see continued stability in the near term with a bias for improvement from new loans and existing loan repricing.
 At the same time, we continue to evaluate strategies that support margin expansion. Our noninterest expense base increased somewhat with the new hires Tim highlighted. Additionally, the seasonal increases related to 401(k) matches tied to bonus payments, and lower loan origination cost deferrals contributed to the $1.9 million increase over the fourth quarter. Professional service expenses related to the annual audit also tend to be higher in the first quarter.
 Increases were somewhat tempered by downward adjustments to incentive accruals in the first quarter, but there were much larger reductions to incentive, profit sharing, stock-based compensation, and retirement plan accruals in the fourth quarter of 2023.
 Moving to noninterest income. Excluding the $5.9 million loss on the sale of AFS securities associated with our fourth quarter balance sheet restructuring, noninterest income of $2.8 million was stable quarter-over-quarter.
 In addition to the total risk-based capital strength Tim noted, Bancorp's tangible common equity to tangible assets ratio improved to 9.76% in the first quarter from 9.73% at December 31. Our contingent liquidity is plentiful, and our deposit base is well diversified with businesses representing 59% of balances and 32% of accounts.
 Our largest depositor represented just 2% of total deposits while our 4 largest depositors comprised 5.3%.
 We maintained our total deposits to $3.28 billion on March 31 without tapping the brokered CD market or running CD campaign. And noninterest-bearing deposits increased slightly to 44% of total deposits from 43.8% at December 31. The average cost of deposits increased 23 basis points to 1.38% in the first quarter compared to a 21-basis point increase from the prior quarter. Underlying these changes is a clear downward trend and monthly increases since the peak in March 2023.
 We believe we are appropriately competitive in regard to deposit pricing given our relationship banking model that differentiates Bank of Marin. Disciplined credit management remains a Bank of Marin core value as well. Our $350,000 provision for credit losses in the first quarter compares to a provision of $1.3 million for the previous quarter and brought the allowance for credit losses to 1.24% of total loans compared to 1.21% as of December 31.
 Typically, loan originations are lower in the first quarter of the year. And this year, new originations of $12.4 million were more than offset by payoffs of $21.8 million with rates on new loans averaging 266 basis points above the rates on loans paid off. Loan balances of $2.1 billion for the first quarter were down $18.8 million from the prior quarter after amortization and changes in utilization.
 Our Board of Directors declared a cash dividend of $0.25 per share on April 25, the 76th consecutive quarterly dividend paid by Bancorp. We didn't repurchase any stock during the quarter. Instead, we concentrated on building upon our strong capital, reinforcing credit protections, deepening relationships with our customers and developing new business.
 We regularly evaluate the merits of stock buyback. We also continue to assess additional possible adjustments across our balance sheet and expense structure with a focus on finding new ways to accelerate net interest income expansion and self-fund efficiency improvement. Potential actions are run through our capital plan and interest rate risk simulations, along with rigorous stress tests, to evaluate long-term benefits. 
 In addition to meaningful profitability improvement, we screen for reasonable earn-back period, ample ongoing liquidity and capital, and sustainable balance sheet strength and profitability.
 With now I'll turn it back over to Tim to share some final comments. 
Timothy Myers: Thank you, Tani. In closing, our enduring relationship-based banking model, healthy capital and liquidity levels, and favorable mix of deposits and solid funding base provide Bank of Marin a strong foundation for loan growth, margin expansion and increased profitability in coming quarters.
 Over the past few months, we have added a number of highly productive bankers, implemented a more active approach to developing new client relationships and increased our use of technology to enhance those efforts. All of these have positioned us to generate a higher level of loan production going forward while we maintain our disciplined underwriting.
 We also continue to evaluate our physical footprint and optimization opportunities as well as other ways to manage expenses while also investing in talent and technology to maximize customer satisfaction, attract new clients and further enhance our ability to generate long-term profitable returns.
 With that, I want to thank everyone on today's call for your interest and support. We will now open the call to your questions. 
Operator: [Operator Instructions] Our first question will come from Jeff Rulis with D.A. Davidson. 
Jeff Rulis: A question on the hires that you had. I know you've added folks even last year. I just wanted to try to get a sense. Were there any new in the first quarter? 
Timothy Myers: Yes, there were. And we haven't -- I think we talked about before not having a team. They're spread out among our different regions, but we did have costs in Q1 associated with that and haven't -- it's more of a timing issue, haven't offset that yet with the cost rationalizations and other areas that we said we'd do to fund that. So that -- there's a bit of a timing gap there. 
Jeff Rulis: Okay. Yes, it's kind of leading to the next. So I'm just trying to get a sense for -- you've had this seasonal impact bumps in professional services and other. Just trying to get a sense on the salaries line, Tani, if -- are there some puts and takes that overall expense? Do you moderate from here? Or is that some of those new adds kind of continue to add to growth? 
Tani Girton: Yes, I'd say puts and takes. We had some positives that offset some of the negative seasonal stuff. And so when you look at it on balance, we do have a higher base on the salaries. And this is the beginning of the year. So medical insurance costs are up, and we do have some strategies that will be kicking in the cost for which we'll be kicking in later in the year. Again, we're trying to self-fund those. But I would say we are moving into 2024 with a higher salary base. 
Jeff Rulis: Okay. 
Timothy Myers: Just one more point, Jeff. While it's not in the salary line, I mentioned in the script that we did consolidate 2 offices so -- in the quarter -- at the very end of the quarter. So we'll save about $800,000 a year and lease expense there, in part they're largely so that we kind of fund the personnel acquisition. So we'll continue to look for ways like that. I know it's hard to quantify at this point, but we'll continue to do those kind of things. 
Jeff Rulis: Yes. No, makes sense. And Tim, the arena, the folks that were hired, their focus of lending, is it in a particular area? 
Timothy Myers: No. I think it's more C&I-based or focused than we have had, but I would call them generalists like much of our banking history has been. So we are seeing a much more diversified portfolio, professional services, general C&I deals. But it is spread out. So we're seeing a lot of growth in the pipeline in Sacramento, the North Bay, Walnut Creek. Those are all the different places we have these hires. So that was part of our -- strategy was to grow -- become more regionally specific to how we are aligned rather than, as I said before, buying a team that's focused on more than just one geography. 
Jeff Rulis: Okay. Great. And maybe just my last one then. As it relates to that loan growth, I mean you talked about in the release remaining careful of the environment. The pipeline is up. You kind of got over, so maybe some construction payoffs. I wanted to -- maybe big picture on loan growth from here. I know, Tim, you mentioned timing is difficult, but get a sense for your expectations for loan growth on a net basis... 
Timothy Myers: We are still targeting mid-single digit that we've talked about. We get -- it is really -- we're really getting traction. Again, I -- we can't promise you're going to get those deals approved or -- but it's really those people in the market are getting traction. And so we have a much higher confidence level that we'll see more yield churn, more activity, which ultimately leads to more closing. So the timing of that, again, it's hard to predict. It can be lumpy, but we're pretty optimistic at this point of how that's shaping up. 
Jeff Rulis: So Q1's net runoff doesn't deviate from mid-single digit for the full year? 
Timothy Myers: That is still our goal. 
Operator: Our next question will come from the line of David Feaster with Raymond James. 
David Feaster: I wanted to maybe follow up on the loan growth kind of commentary. Originations were down in the quarter. Just curious, even though -- how do you think about -- what drove that? Like how much of that is weaker demand, maybe less appetite for credit? 
 And just kind of your -- where do you expect growth to be coming from? You touched on more C&I. So it seems like that might be a bigger driver. So just kind of some of those comments. 
Timothy Myers: Yes, no problem. On the weakness of side, I think you hit on it. I think there is weaker demand, but we are seeing a bit of a normalization as people get more used to the higher rates and higher for longer that we're seeing a lot more activity, either they can't wait it out or it's not quite as scary for them as we thought. So we are seeing a higher level of interest.
 There is a component of, no, we're not going to do an office property in San Francisco with 30% vacancy, even if it looks good as a smaller property or even in other parts of our footprint where there's lease rollover risk. And then you're just not going to step into a situation where it could start deteriorating relatively soon. So there is a greater degree of oversight, but we are seeing a greater degree of deals where the credit meets our criteria, more geographically dispersed and more dispersed by type of loan. So it's always hard to predict from a point in time what that means, but we are seeing all of the above right now. 
David Feaster: Okay. And then maybe just touching on credit, right? You've got a great reputation as an aggressive and proactive manager of credit. That's evident in the quarter. You touched on a few of the credit issues in the quarter. But I'm curious maybe, how do you think about managing those issues? Your thoughts after stressing the CRE book and maybe the health of the CRE market in your footprint? And how -- just high level, how you think about approaching potential modifications? 
Timothy Myers: Yes. That's a great. That's a good question. Let me ask Misako Stewart, our CCO, who's on to jump in. She's the one that does most of that work. 
Misako Stewart: So as you mentioned the credit quality and the credit management of our portfolio is still pretty solid, I mean -- or very solid, I would say. In terms of managing the credit, you mean it's a close management. Every quarter, we're getting updated information. We're looking at values, and we're talking to our borrowers.
 I mean, of our classified loans, all of them are supported by personal guarantees or the owners or the direct borrowers. And so we are constantly in discussions with them on how to kind of remediate defined resolution, find a mutual agreement, compromise on how to right size or get the loan to a more conforming level, if you will. And that conversation continues.
 The balances in our graded loans is not always a great reflection of the movement that we see, and there is a lot of movement up and down in our portfolio. And last quarter, we had very little by way of migration from past to criticized or classified and even in the downgrades to -- from our special mention to our substandard. Majority of those are vacancy issues, but they're not necessarily that vacancies have gotten worse. They just haven't gotten better. And with the passage of time, it warns closer attention, and those are the reasons for the downgrade. So we do take a pretty aggressive approach in how we monitor the credit and how we risk rate. 
David Feaster: Okay. That's helpful. And then just kind of another part was -- just help the CRE market across your footprint? 
Misako Stewart: I'm sorry? 
Timothy Myers: Say that again, David. Sorry. 
David Feaster: Just the help of the CRE market across your footprint? 
Timothy Myers: Misako, you want to take that. 
Misako Stewart: Yes. The help that we see -- yes. It depends on the asset class. I think industrial still continues to perform well. And it depends on our footprint. Office is not bad in every market that we're in, and same with retail. So it is different. Multifamily is still -- continues to be a strong asset class for us. So it's hard to say how it is overall since it is different in each market. 
Timothy Myers: Yes. It is uneven, David. And the valuation declines, obviously, are most pronounced in our footprint in office. But even then, within office, it can be 20% decline from some one region up to the kind of declines we're seeing 40%, 50% in San Francisco, again, heavily dependent on the size of the property, all that kind of stuff. So it is uneven.
 Industrial is strong in a lot of our footprint. So -- and as Misako said, multifamily is strong, and we haven't had a lot of issues there that aren't just weird, idiosyncratic, unrelated to what's going on in the world. So it's holding up in many of these categories. 
David Feaster: Okay. That's great. And then I just wanted to touch on -- just kind of get a high-level thoughts on how you think about managing the balance higher-for-longer environment. You've noted that there's some opportunities that you're considering. You guys have already been active with the securities book, with cost saves, still investing in the franchise with new hires. But I'm just curious what types of initiatives you're considering. And given the like, again, last quarter, we're talking about rate cuts. Now we're talking about a higher-for-longer environment. What are your thoughts on managing the balance sheet have changed at all? 
Timothy Myers: We are actively contemplating all those things, and I'll let Tani jump in here. 
Tani Girton: Yes. So we had a series of sales last year. We did about $83 million in the second quarter and then another $132 million in the fourth quarter. We still have a significant AFS portfolio that gives us a lot of flexibility to opportunistically sell those securities and get those funds redeployed into higher-yielding investment loans, whatever opportunities we have there. So the timing is important, but we are looking at it, as Tim said, very -- in a very concentrated manner and we'll continue to do so. 
Operator: The next question will come from the line of Andrew Terrell with Stevens. 
Andrew Terrell: Maybe if I could start just on the deposit front. Looks like the interest-bearing deposit costs increased this quarter was actually maybe a little bit of an acceleration from 4Q. I've got up 33 basis points and it was 31, I believe, in the fourth quarter. I'm just trying to maybe square that with some of your commentary around the deposit cost deceleration, and maybe you mean more on kind of a month-to-month basis throughout 1Q. So maybe it would be helpful, could you share just kind of how deposit costs progressed throughout the first quarter? 
Timothy Myers: You're 100% right, and I'm sorry if that was unclear. So yes, we saw a couple of basis point increase in the overall cost quarter-over-quarter but a big deceleration. Tani, can give you specifics. But by the time you hit March there, it was the lowest level we've seen since before this crisis. 
Tani Girton: Yes. So if you look back at March of '23, we had a 60-basis point pop on interest-bearing and 29 overall. So I'll stick with the overall cost of deposits. So that has trended down on a monthly basis. It fell down pretty steeply to 16 and 12, and then it popped up a little to 14. Then by July of '23, it was down to 6 and then 5. Then it popped up a little bit in September and stayed up a little bit around 7 to 9 and then peaked in January at 10 and then back down to 6 and 2. So the -- it's a clear trend down. There are some peaks and troughs in that trend, but it is a pretty solid trend down. 
Andrew Terrell: Got it. Okay. Very good. So kind of 10, 6 and 2 in January, February, March. Definitely seems like a big step-down into March, though. And then if I could ask another one kind of margin related as well. I think the release mentioned about a 260-basis point spread for new originations versus what was being paid off this quarter.
 I'm just curious your thoughts on -- if I look at what paid off most heavily this quarter was construction, which I would imagine is a little higher yield. Just as we contemplate, Tim, you guys getting back to that kind of mid-single-digit-type loan growth, so growth ramping later this year, would you expect that spread of new originations to payoffs to widen from this 260 level? 
Timothy Myers: Yes. It's hard because, as you said, the cost of loans paying off were probably a little bit higher. So the loans came on again. It's a small sample, but I think it's consistent with what we're seeing is in the low 8s. 8.18%, I think, was the rate of the loans that came on in the quarter. So a material difference from a lot of our other fixed rate loans. So it just depends on the timing and the category, right, of the payoffs.
 But I think that is a clear trend. Just again, also whether it's going to be fixed rate or variable rate, some of the fixed rate for attractive real estate lending up is still awfully competitive. It may not seem to see the same delta rates coming on, Brazil is going up, but that's where we were for the quarter, about 8.18%. 
Tani Girton: And I would just add we have on the -- if you just look at the existing portfolio, assuming a static balance sheet, no change in rates, we've got 36 basis points of residual repricing in the loan book for the next 12 months. 
Andrew Terrell: Yes. Okay. And that's, I think, pretty consistent with kind of how we thought about loan repricing when we discussed it last quarter. Is that right? 
Timothy Myers: Yes. At 17%, 18% a year is our run rate of loans repricing on the book. 
Andrew Terrell: Okay. If I could ask one more just around the dividend. I mean clearly above 100% payout ratio this quarter. And I understand you guys have a lot of capital, a very healthy capital position. Just would love to hear kind of your thoughts, Tim, on comfortability around the dividend and where it's at today and whether that's a maybe holdup as you contemplate any incremental capital-return opportunities or securities restructuring. 
Timothy Myers: I think you just summarized what we're [ answering as well. ] You answered your own question very well. The dividend is really important to us, and we understand the importance of it to our investors. And so yes, we have a lot of capital as we work through this compressed NIM rate environment. But as you said also, we're looking at restructuring or other things we can do with our balance sheet to help provide more visibility and when expanded margin where that wouldn't be such an issue. That is all part of our ongoing discussions that we are currently involved in. 
Andrew Terrell: Okay. I appreciate it. And then actually, Tani, just one more quickly. I think if I look back at 2023, the charitable contribution line steps up in the second quarter. Should we expect something similar in 2Q of '24? 
Tani Girton: Yes, yes. We're very committed to those contributions, and the timing is going to stay the same this year in the second quarter. 
Operator: The next question comes from the line of Woody Lay with KBW. 
Wood Lay: Wanted to start on noninterest-bearing deposits. I mean they saw a slight increase on the quarter, which was great to see. I mean, were there any seasonal impact to the noninterest-bearing bucket? And are you beginning to see that mix shift flow from here? 
Timothy Myers: Yes. I will -- I'll start, and I'll let Tani jump in. I don't think we saw anything unusual. We did have an outflow from noninterest-bearing or even, in some cases, interest-bearing into alternate investment, higher yielding. That was about $27 million, but we brought in $97 million total across the various types. So we're just going to have those fluctuations.
 We just -- I know we've said it and have -- happening in Q1 of last year compounded the concern, but we get some big fluctuations up and down in our noninterest-bearing commercial accounts. And we haven't seen any trend that leads me to believe that anything has changed. 
Tani Girton: Yes. I think we often have outflows in the first quarter, and the efforts that our team have made to make sure that we bring in inflows to compensate for that is really good. 
Wood Lay: All right. That's good to hear. And then maybe turning over to the loan growth. I think in the release, you cited some new compensation plans where we're helping the pipeline. But just any color you can give on sort of what those new compensation plans are. 
Timothy Myers: Yes. I would say the comp -- there's 2 components. One is a more -- around frequency of how we're paying people, right? We've always been an annual shop. And so I think as generations change, expectations change. We -- that's one area where I think we can really try to drive behavior. People do what they get paid to do.
 And the other end would be to bring in some of the really quality producers would -- we have more upside built into the plan. So at face value, it's not going to cost us anymore, unless they really hit a different level of production targets. And that was really -- that's all new. That was designed to -- meaning newly applied. That was designed to help with the people we were bringing in. So that was more aimed at getting those people. The former will be aimed at behavioral. So still new, but that face value don't anticipate it costing us more money necessarily, unless again, they hit it out of the park, and then we'll all be cheering that anyway. 
Wood Lay: Yes. All right. And then last for me, just another follow-up on the classified movement. Just any additional color you can give on the types of CRE loan that moved into that bucket? Were those in the office portfolio? 
Timothy Myers: Yes. Misako, do you want to take that, please? 
Misako Stewart: Sure. Yes, one was office, one was retail in different locations. And both are supported by strong meaningful support by way of the guarantees with liquidity. 
Operator: There are no further questions on the line. I'll now turn the call over to Tim Myers for closing remarks. 
Timothy Myers: Yes. It appears we do not have any online questions. I want to thank everyone for your diligence and questions. And if anyone has any further, please, by all means, call Tani or I, and we're happy to further dive into some of these issues. With that, we'll see you next quarter. 
Tani Girton: Thank you. 
Operator: The meeting has now concluded. Thank you for joining. You may now disconnect.